Operator: Welcome to the RLJ Lodging Trust Fourth Quarter 2022 Earnings Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the call over to Nikhil Bhalla, RLJ's Senior Vice President, Finance and Treasurer. Please go ahead.
Nikhil Bhalla: Thank you, operator. Good morning and welcome to RLJ Lodging Trust 2022 fourth quarter and full year earnings call. On today's call, Leslie Hale, our President and Chief Executive Officer, will discuss key highlights for the quarter; Sean Mahoney, our Executive Vice President and Chief Financial Officer, will discuss the company's financial results; Tom Bardenett, our Chief Operating Officer, will be available for Q&A. Forward-looking statements made on this call are subject to numerous risks and uncertainties that may lead the company's actual results to differ materially from what had been communicated. Factors that may impact the results of the company can be found in the company's 10-K and other reports filed with the SEC. The company undertakes no obligation to update forward-looking statements. Also, as we discuss certain non-GAAP measures, it may be helpful to review the reconciliations to GAAP located in our press release. Finally, please refer to the schedule of supplemental information, which was posted to our website last night, which includes pro forma operating results for our current hotel portfolio for 2019, 2021 and 2022. I will now turn the call over to Leslie.
Leslie Hale: Thanks, Nikhil. Good morning everyone, and thank you for joining us today. We were pleased that lodging fundamentals strengthened throughout last year with significant improvement across all segments of demand, demonstrating the resiliency of the industry. Against this positive backdrop, we successfully executed on our key priorities, including capturing strong operating performance driven by the accelerating recovery in urban markets, successfully launching all three of our transformative conversions, including the Zachari Dunes at Mandalay Beach and the iconic Mills House in Charleston, both of which joined the Hilton Curio collection, and the Pierside in Santa Monica, which was rebranded as an independent hotel acquiring a high quality hotel in Nashville, an attractive growth market. Further strengthening our balance sheet by addressing our 2023 maturities and exiting all COVID restrictions and returning capital to our shareholders through an increased dividend and disciplined share repurchases. The successful execution has positioned us to realize incremental EBITDA from our embedded growth catalyst in 2023 and beyond, and underscores our ability to leverage the optionality our strong balance sheet provides. Turning to our operating performance. In the fourth quarter, we saw sustained pricing power across our portfolio, outsized growth in urban markets, and continued recovery of business travel in addition to strong group booking activity. During the quarter, our hotels achieved 94% of 2019 RevPAR levels driven by ADR that achieved 105%. Our performance was led by urban markets, which benefited from improving corporate demand trends, increased citywide attendance and the continuation of leisure demand, as well as the early recovery of international travel. Our urban hotels outperformed our overall portfolio achieving 97% of 2019 RevPAR driven by ADR, which achieved 107% reflecting a sequential improvement. This outperformance was broad based with our hotels in markets such as Southern California, Atlanta, Boston, and Austin exceeding 2019 RevPAR further validating our strong position relative to improving trends in urban markets. In terms of segmentation, the momentum and corporate travel that we saw throughout last year carried into the fourth quarter, which achieved 70% of 2019 BT revenues, the highest since the pandemic. This represented an increase of 300 basis points from the prior quarter and an improvement of over 1.5x from the first quarter. SME travel continued to be the main driver of corporate demand. While our larger core accounts from industries such as entertainment, energy, consumer goods, services and aerospace saw increased demand throughout the quarter. We also saw strong production from small groups, which continued to contribute at elevated levels to our overall group mix. These positive trends stroke pricing power as group ADR achieved 105% of 2019 for the quarter. Although booking windows were short, momentum in group demand remained strong as demonstrated by our total in the year for the year bookings last year, which were over 30% higher than a typical year. As it relates to leisure, although trends returned to normal seasonality, demand remained healthy, an indication that consumers continue to overweight experiences in their spending decision. Weekend ADR for our entire portfolio achieved 116% of 2019 during the quarter, improving 200 basis points from the third quarter. These positive trends led our overall weekend RevPAR to achieve 107% of 2019 levels during the quarter. Urban leisure trends were especially robust as demonstrated by our weekend urban RevPAR achieving 111% of 2019 led by ADR that achieved 118% during the fourth quarter. Relative to the bottom line, excluding our three conversions, which are ramping, our portfolio achieved hotel EBITDA of over 91% of 2019 levels and margins that were only 128 basis points lower. This performance speaks to the efficiencies we have obtained in a high operating cost environment. Now turning to capital allocation, our internal and external growth catalyst have created multiple channels to drive EBITDA growth throughout this cycle. With respect to internal projects, we are pleased with the relaunch of our three conversions and are seeing significant momentum. Specifically, the Mills House in the historic district of Charleston is off to a great start after completing a comprehensive reimagination of the entire hotel, including repositioning all food and beverage outlets and the transformation of the hotel's rooftop, pool and bar. The hotel's repositioning and affiliation with Hilton's Curio collection is driving significant ADR premiums and early results are exceeding our expectations. The Zachari Dunes is taking full advantage of its transformative resort-wide renovation and its attractive beachfront location on the California coast. Additionally, we are benefiting from the enhanced operating model, which is driving meaningful out of room spin and savings of approximately $1 million from annual cost related to the elimination of comp services. We recently launched a Pierside Hotel in Santa Monica, which converted from a Wyndham following a transformative renovation of guest rooms and public spaces and the addition of a new open air F&B outlet. The hotel has a prime location at the entrance of the famous Santa Monica Pier with sweeping views of the iconic Pacific Wheel. The repositioning will allow us to attract higher rated experiential travelers to this irreplaceable location. The relaunch of these three conversions not only validates our ability to unlock the significant value embedded in our portfolio, but also enhances the overall quality of our platform. We expect these properties to significantly exceed 2019 levels of EBITDA this year as they continue to ramp and we remain confident in their ability to meaningfully exceed our initial underwriting, which supports our conviction and our ongoing value creation initiatives. Looking forward, we have tremendous optionality with one of the strongest balance sheets among publicly traded peers, which is allowing us to continue to pursue multiple channels of growth, such as additional brand repositionings. In 2023, we will build upon the successful execution of our recent conversions and are excited to announce two additional conversions, including the Wyndham Houston Medical Center, which is being repositioned as a DoubleTree by Hilton Brand. This property is ideally located across from one of the largest medical complexes in the world. Given the initial ADR list, this property has already achieved following its soft launch, we are confident that an opportunity exists to capture significant incremental ADR lift and market share after completing a comprehensive renovation this year. Also in 2023, our Indigo in New Orleans will join the Marriott Tribute Portfolio. The hotel benefits from its prime location within the New Orleans Famous Garden District, and is expected to generate incremental ADR as a tribute. The hotel's renovation is scheduled to begin later this year. With regard to external growth, we are continuing to build a pipeline of off market acquisition opportunities. Given the current backdrop where transactions are being constrained by limited lending capacity and all cash buyers are preferred, our strong balance sheet is a significant advantage. That said we remain highly disciplined given the current uncertain environment. Now looking ahead to 2023, while we acknowledge the overall macroeconomic uncertainty with the continued acceleration of business travel group booking momentum, and growing urban leisure demand, we believe that urban markets will outperform the industry on a relative basis. This will benefit our portfolio, which generates over two thirds of EBITDA from these markets. With respect to our 2023 outlook, in general, we expect ADR to remain healthy in all segments, while demand growth across each segment will differ. We expect leisure demand to remain above 2019 levels with seasonality continuing to normalize. However, we expect urban leisure to see stronger performance due to continuation of leisure demand from hybrid flexibility. Business transient recovery should continue to improve during 2023 with demand from larger corporate accounts increasing, which we are already seeing. Group remains strong as citywide attendance increases and more to citywides are held in key markets such as San Francisco, Boston, and San Diego. Additionally, we expect small group to continue to see elevated contribution levels. We remain encouraged by the healthy booking activity since the beginning of the fourth quarter, where we booked over $55 million in group revenues with approximately 70% related to 2023. This strong booking activity allowed us to enter 2023 with our group booking pace at 76% of 2019. And finally, inbound international travel should improve throughout the year, which will further benefit urban markets. Overall, we expect the strongest growth during the first half of the year due to easier comps. We have already seen this in January, which achieved year-over-year RevPAR growth of 43.5%, benefiting from improving corporate business travel, strong attendance and citywides, such as J.P. Morgan's Healthcare Conference in San Francisco and continued pricing power. February is projected to see an increase of over 20% from last year. Given these trends, we believe our RevPAR in hotel EBITDA should increase over 2022 throughout the year and achieve performance ahead of the industry. Our confidence in our growth profile is supported by our favorable footprint and our unique growth catalyst. As we look at the overall cycle, our outsize EBITDA growth will come from our concentration in urban markets, which have additional run room for growth. Our high quality portfolio benefiting from many livestock properties that have seven-day-a-week demand locations ramping of our four high quality acquisitions, which are pacing ahead of our underwriting, completion of our margin expansion initiatives, and incremental growth from embedded catalysts, including the ramp of our three recently completed conversions and our two newly announced projects and our pipeline of future opportunities. Additionally, our overall positioning will be enhanced by our strong balance sheet, which provides significant optionality to drive growth, while also driving shareholder returns. Furthermore, our balance sheet provides valuable liquidity to mitigate risk during the current macroeconomic uncertainty. I am incredibly proud of the hard work our team has done over the past several years in not only successfully navigating one of the most challenging periods in the history of the lodging industry, but also positioning RLJ to take advantage of multiple channels of growth to maximize shareholder value. I will now turn the call over to Sean. Sean?
Sean Mahoney: Thanks, Leslie. To start, our comparable numbers include our 96 hotels owned throughout the fourth quarter. Our reported corporate adjusted EBITDA and FFO include operating results from all sold and acquired hotels during RLJ’s ownership period. We were pleased with our fourth quarter results, which were in line with our expectations. Fourth quarter portfolio occupancy was 66.9%, which was 89% of 2019 levels. An average daily rate was $190, achieving 105% of 2019. Specifically, as previously mentioned, fourth quarter ADR in our urban markets was the highest with respect to 2019 as urban markets continued to benefit from pricing power. Fourth quarter ADR exceeded 2019 levels by approximately 20% or more in a number of key urban markets, including San Diego, Manhattan, Tampa, Pittsburgh, and New Orleans. Our fourth quarter RevPAR was 94% of 2019 levels, which was in line with the third quarter. Monthly RevPAR achieved 95%, 91%, and 96% of 2019 levels during October, November, and December, respectively. November results were impacted by difficult comps to 2019 due to an additional travel week in 2019 as a result of the later timing of Thanksgiving compared to 2022. December re-accelerated, which was primarily driven by our urban markets such as New York, Washington, D.C., Tampa, and New Orleans. Our fourth quarter operating trends led our portfolio to achieve hotel EBITDA of $87.6 million, representing 87% of 2019 levels and hotel EBITDA margins of 29%, which was only 229 basis points below the comparable quarter of 2019. For the full year 2022, our RevPAR was $129.61, representing 89% of 2019 levels. And hotel EBITDA was $370 million, representing approximately 83% of 2019 levels, which underscores the incremental EBITDA potential in our Urban-centric portfolio. This year has started off well with January RevPAR, increasing by approximately 44% from 2022 with occupancy of nearly 60% and ADR of approximately $188. Turning to the bottom line, our fourth quarter adjusted EBITDA was $79 million, and adjusted FFO per share was $0.33. While demand remained strong during the fourth quarter, our operating cost continued to normalize underscoring the benefits of our portfolio construct and tangible results of the initiatives to redefine the operating cost model, our total fourth quarter and full year hotel operating costs were below 2019 by approximately 3% and 8% respectively. We are proud of our ability to maintain operating cost below 2019. As a frame of reference, the aggregate core CPI growth rate since 2019 equates to approximately 14%, which is meaningfully above our fourth quarter operating costs, which remained approximately 3% below 2019. There are many factors that influence these positive results with the most significant contributors being the recent successful restructurings of many of our third party operating agreements and success in reducing property taxes, both of which we expect to continue benefiting our operating costs. Fourth quarter wages and benefits, our largest operating cost at approximately 40% of total costs, remain approximately 5% below 2019 levels. Our portfolio remains better positioned for the current labor environment due to the need for fewer FTEs given our lean operating model, smaller footprints, limited F&B operations and longer length of stay. During the fourth quarter, our hotels continued operating with approximately 20% fewer FTEs than pre-COVID. Overall, while the labor market remains tight, we are encouraged that the hiring environment is showing signs of improvement, and we believe that the inflationary pressures on hourly wages are stabilizing. We remain active in managing our balance sheet to create additional flexibility and further lower our cost to capital during 2022. These accomplishments include: entering into a new $200 million term loan to address a 100% of our 2023 debt maturities and proactively address a $100 million of our 2024 debt maturities. Exiting all restrictions under our corporate credit facilities, which lowered our consolidated weighted average interest rate that resulted in annual interest savings, close to $9 million. Exercising extension options on $425 million in maturing debt and maintaining an undrawn corporate revolver. The execution of these transactions is a testament to our strong lender relationships and favorable credit profile. Our current weighted average maturity is approximately four years, and our weighted average interest rate is 3.6%. We are benefiting from 85% of our debt that is either fixed or hedged under valuable swap agreements, which protects us in the current interest rate environment. We continue to maintain significant flexibility on our balance sheet with 81 of our 96 hotels unencumbered by debt. Turning to liquidity, we ended the year with approximately $481 million of unrestricted cash, $600 million of availability on our corporate revolver and $2.2 billion of debt. Turning to capital allocation, we were active under our $250 million share or purchase program last year, where we repurchased approximately 4.9 million shares for $57.6 million at an average price of $11.75 per share, including $7.6 million in shares were purchased during the fourth quarter at an average price of $10.66 per share. So far in 2023, we’ve repurchase $0.5 million of stock and an average price of $10.49 per share. Additionally, given the embedded growth in our portfolio, our lean operating model and the strength of our balance sheet, our board recently authorized the increase of our quarterly dividend by 60% to $0.08 per share starting with the first quarter, representing the second dividend increase since last summer. We continue to view dividends as an important component of the total return we seek to provide investors, and the recent increase validates our ongoing commitment to enhancing shareholder returns. We will continue making prudent capital allocation decisions to position our portfolio to drive results during the entire lodging cycle while monitoring the financing markets to identify additional opportunities to improve the laddering of our maturities, reduce our weighted average cost of debt, and increase our overall balance sheet flexibility. Based on our current view, we are providing first quarter guidance that anticipates a continuation of the current operating and macroeconomic environment. For the first quarter, we expect comparable RevPAR between $133 and $137. Comparable hotel EBITDA between $85 million and $91 million, corporate adjusted EBITDA between $76 million and $82 million. An adjusted FFO per diluted share between $0.29 and $0.33. Our outlook assumes no additional acquisitions, dispositions, refinancings, or share purchases. Please refer to the supplemental information, which includes comparable 2019 and 2022 quarterly and annual operating results for our 96 hotel portfolio. Finally, we estimate RLJ capital expenditures will be in the range of $100 million to $120 million during 2023. Thank you. And this concludes our prepared remarks. We’ll now open the line for Q&A. Operator?
Q - Austin Wurschmidt: Great, thanks and good morning everybody. I realize you guys didn’t provide full year 2023 guidance, and don’t have a crystal ball on how economic growth’s going to shape up for this year, but can you just share based on the citywide calendar, and some of the various demand generators you see that, that you know of today through the balance of the year, how we should maybe think about generally speaking the cadence of RevPAR growth through the year?
Leslie Hale: Sure. Good morning, Austin. Let me frame for you kind of our general expectations. We expect our performance to correlate to the performance of urban markets in 2023, and as you know, urban markets are expected to outperform the industry by 300 basis points to 400 basis points in 2023. We expect year-over-year growth each quarter 2023 versus 2022 and clearly Q1 is going to have the most significant growth, which is well known and we expect the other quarters to moderate, but to remain positive year-over-year. In general, we expect to build upon the trajectory we had in 2022 with some growth quarter-over-quarter.
Austin Wurschmidt: Got it. And then second, with the upside, you guys continue to highlight across the portfolio from occupancy, the ability to drive ADR presumably as occupancy improves maybe most notably within that urban portion of the portfolio, but when you marry that with Sean, I think you said stabilizing wages and other costs, I mean, how do we think about the operating leverage you have today and the margin upside potential without asking you to put a timeline around that?
Sean Mahoney: Sure. Thanks, Austin. I think, I’ll start with just talking about quickly advantages of our model. We have the smaller footprints; we’re room centric, longer length of stay hotels. And with that comes less labor relative to, say full service hotels. We’re at about 40% of our total operating costs, labor represents versus roughly 50% for the full service hotels. When you look then drill a little deeper into RLJ specific catalysts, right? We’ve got the initiatives that we talked about the prepared remarks with respect to the operating agreements and property taxes. In addition, we have the benefit of the COVID era synergies, particularly around sales and marketing and how we’ve complex, successfully complex hotels, all of which will help us on a relative basis. And so what does that mean in total? Is that we expect if the baseline for full service hotels to get flat RevPAR is roughly 8% RevPAR, which is sort of the market, our conventional wisdom there is we expect plus or minus 200 basis points lower than that for our portfolio to have breakeven margins. And so hopefully that helps you think about the relative positioning.
Austin Wurschmidt: Yes, that’s very helpful. Thanks for the time.
Operator: Thank you. Our next question comes from the line of Michael Bellisario with Baird. Please proceed with your question.
Michael Bellisario: Good morning, everyone.
Leslie Hale: Good morning, Mike.
Michael Bellisario: Leslie, you talked about a bunch of the levers that, that you could pull this year, and I know you can sort of do all of them given the strength of the balance sheet, but maybe what would be at the top of the list today in terms of incremental spending as we sit here today?
Leslie Hale: So, Mike, obviously you saw us be very active last year and we demonstrated our ability and willingness to leverage the optionality and our balance sheet. And as you mentioned, clearly our balancing liquidity give us the optionality to have to execute multiple levers at the same time. If we look at the fact last year we were active on buybacks. We did it on a leverage neutral basis with disposition proceeds. We were active from a standpoint of internal investments and you saw us deliver our conversions and we’re poised to deliver to more. We also were active, in the right window from an acquisition perspective and enter the growth market of Nashville, and we raise our dividends. But it’s obviously pretty clear based on how the volatility in the market is, is that buybacks remain the most attractive. But we’re going to continue to view that on a leverage neutral basis. We’re also going to continue to monitor the backdrop in which we find ourselves in to find the right window. All of these levers have benefits. The key thing is to remain disciplined and focused on finding the right window to exercise those options, Mike.
Michael Bellisario: Got it. Understood. And then on those two new conversions that you just announced, could you share, if you could, the total cost of each project, and how you’re thinking about incremental IRRs or returns from those investments?
Sean Mahoney: Sure, Mike, this is Sean. On the – we haven’t talked specifically about what the aggregate costs are for those conversions. When I think about the incremental to sort of a normal run rate renovation, it’s somewhere in incremental cost of the sort of $2 million to $4 million of incremental capital for each one of those renovations – sorry, conversions in addition to sort of a normal cycle renovation. From a return perspective I think the returns we’re expecting are similar to what – are similar attributes to what we have on the first conversion, which is we expect to have rate driven gains as a result of the change of the brand affiliation. Now, we expect the unlevered IRSs to likely be lower than the first set of conversions, but still be well into the low double digits. It’s a function of the New Orleans market and the Houston market relative to Charleston and Santa Monica, and those – there’s just higher rate of markets, but we still expect those to be significant rate ADR gains and significant returns. It’s just a function of sort of where they are, but attractive and likely be layered in over the next – you’ll call it one year to two years is when we post conversion as we expect them to ramp up similar to the first set, you’d expect the benefits to be earlier in that one year to two year ramp up period because of the benefits of the brand reaffiliation.
Leslie Hale: And Mike, this is a frame of reference, the first conversions that we did, we expect in returns that are well north of 40%, and that was when we were writing pre-COVID, underwriting pre-COVID, we now expect to materially exceed that. And so while we expect it to be lower, I mean, keep in mind that’s the relevant benchmark to think about.
Michael Bellisario: Got it. And then just last one for me on the acquisition pipeline that you referenced, sounded a little more optimistic maybe than you have – are you seeing more deals or has pricing come in on the deals that you were previously looking at where any particular deal might pencil better today than it did say 90 or 120 days ago?
Leslie Hale: Yes. Mike, I think that the optimism you heard in my voice is just recognizing that, that in an environment where transactions are constrained in a debt market, while it's loosening it’s still relatively tight, all cash buyers are going to have an advantage. And so I'm excited about our balance sheet what'll provide, but from an overall transaction perspective deals remain still relatively low. What I would say is that what's happening is that assets are not being taken out from the market on a broad basis. What's happening is, is that sellers and brokers are calling buyers who they believe can actually execute on a transaction. And we're receiving some of those inbound calls because of our balance sheet strength and capability of actually closing. And so I'm encouraged by that. I'm also encouraged by the fact that given the backdrop of the debt markets and where interest rates sit today, also how expensive caps are, and this looming CapEx that some sellers will have I'm encouraged that there'll be more willing sellers as we move throughout the year. So I'm just encouraged by the trajectory, not necessarily what I'm seeing immediately today.
Michael Bellisario: Understood. Thanks for that caller.
Operator: Thank you. Our next question comes from line Floris van Dijkum with Compass Point. Please proceed with your question.
Floris van Dijkum: Thanks guys. Wanted to follow up on the question basically about the capital allocation; you've got a lot of financial flexibility with the cash and the line, obviously. I guess what people are trying to get a sense of is what portion of your liquidity could people assume to be spent on share buybacks versus some of the newer acquisitions versus some of the other potential rebranding of high profile assets like the San Diego Renaissance as well as some of the more maintenance repositioning like the Hilton Cabana?
Sean Mahoney: Thanks Floris. This is Sean. I think when you think about the liquidity that we have, we appreciate the comments. We are happy with our liquidity position at 1.1 billion and a little under $500 million of that is cash. I think how we will specifically allocate that is based on what the – what the relative return is on the opportunity. As Leslie mentioned, share purchases are attractive today and you would expect us to follow a similar tact that we did in the last year or so is that we'll be opportunistic on deploying proceeds in the shares. The acquisition market we also showed that we were – that we were active when the market was appropriate. There we're – we think that the liquidity provides us with a first mover advantage when the market reopens to get access to the most attractive deals as a preferred buyer, and so I think that is certainly an option. And then thirdly, we continue to have a pipeline of internal opportunities. The two conversions we talked about this morning as well as incremental ROI initiatives, and so the answer is we have liquidity to do all of them. We don't specifically take that cash and allocate it between the two. We look at it more on a long-term basis because our portfolio is generating free cash flow, so liquidity is increasing over time. But I think you would expect us to pull the right lever at the right time as opposed to be more regimented about specific dollars.
Floris van Dijkum: Maybe as a follow up, obviously your current stock still is below the price where you bought back stock in 2022. So would it be fair to assume that when you could – your view on the company obviously presumably hasn't changed that we could see certainly a level equal to or greater than the buybacks that you did in during the past year?
Sean Mahoney: Yes. I'm not going to put a number on it, but you would expect us, we continue to view share purchases as attractive. Our house view continues to be that we're going to do it on an opportunistic basis and a leverage neutral basis. And so the volume and cadence of share purchases is going to be based on obviously how we see the year playing out from macroeconomic perspective as well as where the opportunities present relative to where the stock – where our stock is priced.
Floris van Dijkum: Sean, maybe one more if I can. So you guys have a lot of exposure to San Francisco, if you include Silicon Valley and Oakland as well. Maybe if you can give some comments on what you're seeing in that market and what kind of growth potential lies ahead for you there?
Leslie Hale: Yes. I'll start and I'll let Tom add some color as well. What I would say Floris is that when we look at San Francisco, we're encouraged by what we're seeing this year. So far we're seeing that the year-over-year growth relative to 2022 is going to be meaningful. We acknowledge though that San Francisco CBD in particular as a percent of 19 is going to lag, but we are encouraged that '23 citywides are 2x on 2022 that when you look at the back half of the year on citywides for San Francisco, they're actually above 2019 levels for the third quarter and fourth quarter. We're starting to see international demand obviously be it very early, but we're seeing positive signs associated with that. So the momentum that we're seeing in San Francisco is encouraging. We ended the fourth quarter, full year at 2x where we started at as a percentage of 2019. And we think the momentum is continuing to build in San Francisco, but we acknowledge that it's going to be a slower build overall. But we do see that the markets that are outside of the CBD are moving at a faster pace than CBD San Francisco.
Tom Bardenett: And I would add just a couple of things, and that is through the RFP season, we were focused on trying to get average rate lift over the last few years. It was just rolling over rates, and we felt good about the negotiations specifically for that market with many of the demand generators: Microsoft, Accenture, Amazon, Salesforce, Google, Cisco all are receiving average rate increases, which are going to give us a nice backdrop in regards to continued movement and recovery compared to 2019 in addition to growth over 2022.
Floris van Dijkum: Thanks guys.
Operator: Thank you. [Operator Instructions] Our next question comes from line of Gregory Miller with Truist Securities. Please proceed with your question.
Gregory Miller: Thanks. Good morning all. First question one trend that has arisen in recent months is soft business travel for a full week after a major holiday such as Thanksgiving. And I'm curious if you think such trends are likely to continue in 2023?
Sean Mahoney: Good morning, Greg. I would say always the holiday is a unique timeframe where people are thinking about other things outside of business travel, but what I would say is when you match up the calendar and you look at 2023 versus 2022, we think that there's going to be some growth in some of those weeks depending upon how the holiday falls. Examples of that would be the date of Halloween or what we've seen already in January, February where we had Martin Luther King, we had President's Day, it was an elongated weekend, so again that was on the weekend itself, and then immediately on Tuesday, Wednesday we ramped back up on both those weeks when it came to BT. And so I think it's more around the holidays, as in Thanksgiving and Christmas is where it's a little bit more unique on BT, and I don't think it's a norm that you're going to be able to look at in 2023 versus 2022 based on what you might have seen in Q4.
Tom Bardenett: Yes. And then one thing to add, Greg, the way we're looking at it, we are seeing that same trend for the specific weeks. The way we're thinking about is you really have to look at the weeks surrounding the holiday two and look at those two weeks in aggregate. And we think net-net because of the incremental leisure, it's a positive when you look at the aggregate of the two weeks relative to 2019 because of the incremental leisure travel through there, as well as the rate that we've seen pick-up during those otherwise slow times in past years.
Leslie Hale: And I would dispose onto that, Greg, and just say that our portfolio, given the way it's built and the fact that we are in seven day a week demand markets where you live, work and play that we're going to benefit from that shift no matter what happened. And so what you're not seeing on that day after the holiday, you're seeing on Thursday nights, and we're capturing that as well. And so I would say that our portfolio more than others has built the caps or whatever movement in a new normal looks like.
Gregory Miller: Okay. I appreciate all that. As my follow-up at the OLS [ph] conference last month, when some of you and your colleagues were on the stage, you and team spoke very positively as soft brands as a growing presence. Your portfolio today is still primarily comprised of hard brands. If I were to look at your portfolio five years to 10 years from now, roughly what percentage of your portfolio would you, ideally like to see as soft brands even if that does mean some disposition activity?
Leslie Hale: Yes, look Greg, I would, say that I don’t have a number and, I think it’s important to think about the characteristics of an asset as opposed to actual physical label of a soft brand versus a hard band. And I go back to when I point to who, the asset that we bought in Atlanta, it’s a 20-story rooftop bar, sky lobby, Hampton Inn, right? And it functions just like, a lifestyle, asset because of its construct, because of the finishes and, who it attracts and where it sits. And so it’s less about hard versus soft and more about the dynamics of the asset. So if you think about what we’ve acquired, you think about the conversions that we’ve done, all of those would mean that it’s going to be a higher percentage, overall, but I don’t have a specific number for you.
Gregory Miller: Okay. Very fair. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Chris Darling with Green Street. Please proceed with your question.
Chris Darling: Thank you. Good morning everyone. I just want to follow-up on some comments you made earlier around staffing and, I’m curious, are you more or less, are your operators more or less running at the right headcount today relative to the level of demand you’re experiencing? Or do you think there’s more work to be done in terms of hiring?
Leslie Hale: Yes, I would generally say that, and we’ve said this before, that we generally expect to settle out at about 85% of 2019 levels from an FTE perspective. We ended 2022 at 75% on a full year basis, but we ended the fourth quarter at 79%. So, we’re nearing that. We do think that the labor market has improved from a hiring perspective, it’s still not there yet. But we think that we are nearing kind of where we think we stabilized at. I would also say again, and that goes back to why we expect to be, to have a more favorable margin profile. And again, kind of leaning back into Sean’s earlier comments around our expense management and how we’re able to be under 2019 level.
Sean Mahoney: Yes. And then the Chris, the driver of that incremental, 500 basis points roughly is going to be as demand returns the portfolio is sitting at, for the year at 89% of 19 levels of occupancy. And so that’s the natural progression as we, sell more rooms, you would expect that to normalize.
Chris Darling: Got it. That’s very helpful. And then, just to follow-up there, one of your peers has discussed the use of contract labor maybe more elevated than it’s typically been in the past. Just curious what your experience has been and how that might factor into the margin discussion as well?
Leslie Hale: Yes, I would say that everybody across industry is experiencing that. Given the tight laborer market, I don’t think there’s anybody who doesn’t have higher contract labor today. But you know, as the labor market improves, hopefully that will subside and come down. But you really have to look at it from a standpoint of not only the wage, but also compare that to the fact you have when you hire somebody, you’re not only paying wages, but you’re paying benefits, et cetera, et cetera. So on a relative basis and someone in line, an aggregate.
Sean Mahoney: And the last thing that I would add to that is it really comes down to productivity. And when we look at how we size up, when we look at hours per occupied room and the workforce that we’re using, we want to make sure that our productivity’s in line and that we feel very good about in comparison to just 2019 versus where we’re at today. We’re still below on an hours per occupied room. And then lastly, I would say that because we’re receiving more applicants and retention is better, we’re really having our managers invest in tools and resources with the staff that we do have to make sure that productivity and morale is at an all-time high. 
Chris Darling: Appreciate it. Thank you.
Operator: Thank you. Our next question comes from the line of Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi. Good morning. I guess question on urban leisure, which you’ve talked about a lot on this call. Where is that versus 2019 in terms of either room rate, room demand, and just curious, how much more is the natural recovery is left in urban leisure?
Sean Mahoney: Yes, so I’ll kick it off, Anthony. Good morning. Urban leisure in the fourth quarter was 111% of RevPAR compared to 2019. And the primary driver of that was we were at 118% on the ADR side. So real movement above and beyond our portfolio numbers that we shared around Q4. And you think about weekends, weekends have been real positive compared to 2022 with RevPAR over 106% and ADR 113%. What’s interesting about urban leisure though, the dynamics that Leslie was talking about, who’s coming to the hotels in regards to where they’re staying many times. We’re seeing Thursday night as a check-in day, and there’s a lot of activity around urban leisure with concerts and venues as well as all the things that they might have in their backyard as far as demand generators around corporate universities and even medical. So the locations as well as the desire of the consumer going to those locations is really what’s driving that. And that’s benefiting us because urban’s going to be the significant growth 2023 versus 2022.
Anthony Powell: Got it. So it sounds like you believe that there’s still more year-over-year growth in urban leisure, whereas, and maybe in resort leisure there could be some more moderation. Is that a fair comment?
Leslie Hale: That is a fair comment. We think that urban leisure is still evolving as a new normal shakes out Anthony. And I think what Tom is trying to say is that where our assets are situated and the nature of our assets, it’s easy to flip from that BT experience into the weakened leisure. And we think that that’s still evolving and there’s more room there. And we’re seeing those trends that Tom talked about carrying at the January and, in the first quarter. So, we’re actually net positive on the incremental side. I think overall for us, we think that our portfolio is going to see RevPAR growth that’s driven not by just occupancy, but also rate this year. We think there’s room on the BT side as it ramps, we think that group will continue to be strong and we think urban leisure is going to continue to have on a relative basis growth there as well.
Anthony Powell: Thanks. And maybe one more. Does the experience with the conversions doing more, I guess, upper upscale brands saw brand, do you think you’ll be – will do more, I guess, upper, upscale hotels, whether they’re soft branded, boutique, hard branded over time versus kind of the more urban, upscale, less room focused product that you have been known for historically?
Leslie Hale: Yes. What I would tell you is that our team does an incredible amount of work to determine what is the right brand for an asset. And to think about, what’s going to perform well. So for example, when we think about the two announcements that we just had, we made here, one, is moving to a double tree. And that was the right brand for that asset, for where it sits, what the demand drivers are. And so, we can’t sit here today and say we’re going to, we’re moving in an X direction or not. We’re looking at the market, we’re looking at the physical asset, and we’re determining what’s going to perform best there, and then we’ll achieve the greatest returns. And that’s the way to think about it. There’s a tremendous amount of underwriting that goes into this. We have a very expensive experience, asset management team and a fantastic design and construction team that’s executed on these conversions. And so I don’t want to give this impression that we just picked a north, through north, we are analyzing and studying and determining and working with the relevant bands to make sure that we’ve got the right asset right brand for the right asset.
Anthony Powell: All right. Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. And I’ll turn the floor back to Ms. Hale for any final comments.
Leslie Hale: I would like to thank everybody for joining us today and we look forward to delivering, positive results for the year. And we look forward to seeing many of you all, at the City Conference – next week.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.